Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Atkore's Third Quarter Fiscal Year 2025 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. Thank you. I would now like to turn the conference over to your host, Matt Kline, Vice President of Treasury and Investor Relations. Thank you. You may begin.
Matthew D. Kline: Thank you, and good morning, everyone. I'm joined today by Bill Waltz, President and CEO; John Deitzer, Chief Financial Officer; and John Pregenzer, Chief Operating Officer and President of Electrical. We will take questions at the conclusion of the call. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings and today's press releases, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA and any reference to EPS or adjusted EPS means adjusted diluted earnings per share. Adjusted EBITDA and adjusted diluted earnings per share are non-GAAP measures. Reconciliations of non-GAAP measures and a presentation of the most comparable GAAP measures are available in the appendix to today's presentation. With that, I'll turn it over to Bill.
William E. Waltz: Thanks, Matt, and good morning to everyone. Thank you for joining us today for our fiscal 2025 Third Quarter Earnings Call. Before I address our third quarter results, I want to discuss the announcement made earlier today. I've informed the board of my decision to retire from Atkore. After much reflection, I know that now is the time to start a new face of my life with my family. I've had the privilege of spending 12 years with Atkore, including 7 as CEO as part of a 40-year career. I'm proud of all the accomplishments that the team has achieved. Although the work is never fully complete, it is time for the Board to engage their succession planning process. The Board supports me in this decision. I am focused on a seamless transition and plan to lead Atkore in my current role until a successor is appointed. Our strength as a company has always come from our strategy, process and most importantly, our people, and that will not change. Our Atkore business system is about the team, and I have the utmost confidence in what our teams can achieve going forward. While we are making this announcement today, I am committed as ever to our strategy, our nearly 5,600 employees and our shareholders until the next CEO is appointed. With that, I'll turn to our third quarter results, starting on Slide 3. We delivered strong performance in the quarter, achieving net sales, adjusted EBITDA and adjusted EPS toward the top end of the ranges we presented in May. Our net sales of $735 million included 2% organic volume growth. Beyond our volume growth, results were supported by continued productivity gains, particularly in our S&I segment. Year-over-year declines in average selling prices were in line with our expectations and we are pleased to see a second consecutive quarter of sequential pricing improvement in our steel conduit products. As we started our third quarter this past April, we were just beginning to operate in the new tariff environment. Over the last 90 days, the environment has continued to evolve with multiple modifications to initial tariffs and the introduction of new ones. Notably imported steel conduit and PVC conduit volumes have both declined year-over-year in the third quarter compared to the prior year. As we started the third quarter, the Dodge Momentum Index indicated a slowdown in planning activity across several nonresidential categories. Since then, construction sentiment has been mixed, we've observed pockets of strength in certain verticals, while other key sectors have been more subdued. Tariffs are influencing not just input costs but also market pricing dynamics and broader demand patterns. Taking all this into account, we are maintaining our full year adjusted EBITDA midpoint of $400 million and are raising the midpoint of our adjusted EPS to $6.50 reflecting improved visibility and stronger earnings leverage. Looking ahead to FY '26, we continue to refine our estimates. We anticipate several headwinds, some of which have been previously communicated, such as the expected year-over-year impact from lower selling prices. Others, like the broader tariff effects, which have both direct and indirect elements have emerged more recently and introduced greater complexity. We expect these pressures to persist into next year, and we are actively evaluating various levers to help mitigate their impact. In closing, I want to thank our teams across the organization for their continued execution and discipline. Their dedication to the Atkore business system remains central to how we deliver value to our customers and shareholders. With that, I'll turn the call over to John Deitzer, to talk through the results from the quarter and our full year outlook.
John M. Deitzer: Thank you, Bill, and good morning, everyone. Moving to our consolidated results on Slide 4. In the third quarter, we achieved net sales of $735 million and adjusted EBITDA of $100 million. Adjusted EPS was $1.63. Turning to Slide 5 and our consolidated bridges. Organic volumes increased 2% compared to the third quarter of fiscal 2024. Average selling prices declined 12% year-over-year driven primarily by our PVC conduit and steel conduit products. These year-over-year price declines for both product categories were expected. And as Bill mentioned, we are pleased to report the second consecutive quarter of sequential pricing improvement in our steel conduit products. We also saw sequential pricing improvement across the enterprise. Including for electrical cable and flexible conduit, mechanical and metal framing products. However, pricing has not kept pace with raw material cost increases. This has been particularly true with respect to copper, which has seen cost volatility for most of the quarter. Moving to Slide 6. Year-to-date, our volume is now up slightly, having been flat for the first 6 months compared to the prior year. Our year-to-date volume reflects growth across 3 product areas. Our metal framing, cable management and construction services has grown low single digit year-to-date, driven by our ongoing focus on construction services as well as cable management. Year-to-date, our plastic-pipe, conduit and fittings category is now flat year-over-year having overcome a mid-single-digit decline in the first half of fiscal '25. Growth in the third quarter came from our PVC and fiberglass conduit products. Our metal electrical conduit and fittings product area has grown low single digits year-to-date, having overcome flat volume performance in the first half. We estimate that demand for domestically-made steel conduit has increased due to enacted tariffs on imported steel. Our electrical cable and flexible conduit category also continues to grow, up low single digits year-to-date, which we believe is in part due to the success of our differentiated products. Turning to Slide 7. Adjusted EBITDA margins compressed year-over-year in our Electrical segment primarily due to pricing declines related to our PVC and steel conduit products. Adjusted EBITDA margins improved in our S&I segment year-over-year, driven by volume growth and overall better productivity. The productivity gains were primarily due to better cost management in our North American operations. Turning to Slide 8. Year-to-date, our business has generated $192 million in cash flow from operations, and we've received $14 million in proceeds this year from the previously announced divestiture of the Northwest Polymers business, and the sale of some excess equipment. We remain committed to executing a balanced capital deployment model with an emphasis on returning cash to shareholders. Our balance sheet is in a strong position with no maturity repayments required until 2028 and our recently refinanced asset-based lending agreement remains undrawn, contributing to a net leverage ratio of approximately 1x. Next, on Slide 9. We are maintaining the full year outlook midpoint for adjusted EBITDA. However, with better line of sight to the fourth quarter, we've narrowed the range and expect full year adjusted EBITDA between $390 million to $410 million. We are also pleased to be increasing the midpoint of our full year outlook for adjusted EPS and now expect to achieve adjusted EPS within the range of $6.25 and $6.75. With this, we expect our fourth quarter adjusted EBITDA to be in the range of $75 million to $95 million. Our adjusted EPS is expected to be in the range of $1.05 and $1.35. We are also adjusting our outlook for our full year tax rate. As a reminder, the impairment recorded in the second quarter will reduce our full year tax rate, which we now expect to be in the range of 19% to 21%. This means we'd expect our tax rate in the fourth quarter to be within a range of 20% to 23%. As we mentioned earlier, the forward-looking sentiment on construction activity appears mixed depending on the end market. Through our first 9 months, we have grown just under 1%. For the full year, we would expect our volume to be flat to slightly positive. With that, I'll turn it over to John Pregenzer.
John W. Pregenzer: Thank you, John. Moving to Slide 10. As Bill touched on in the beginning of the call, the topic of tariffs remains fluid with no definitive certainty on their duration or size. As we manage the business, we recognize that tariffs have both a direct and indirect impact on our company. A central theme supporting tariffs is an increase in onshoring of manufacturing across the U.S. There have been positive indicators that onshoring investment momentum is starting to pick up. However, these efforts take time with various factors impacting the rate of change. A potential direct benefit from tariffs for Atkore primarily centers on our ability to recapture lost market share from imports for certain product categories over time. This is especially true for our steel conduit products. We believe this will occur over time as market demand shifts back towards more domestically- sourced products. Since last quarter, the administration announced several changes to existing tariffs and new tariffs. The most relevant change for Atkore was the increase to the original steel and aluminum tariffs on Mexico and Canada from 25% to 50%. The recently announced 50% tariff on imported copper that became effective on August 1, is not expected to negatively impact Atkore due to our domestic supply partners. As we look beyond FY '25 to FY '26, we are estimating various factors that are likely to impact us. As we have previously communicated, due to the rate of change in our average selling prices for our PVC conduit products in FY '25, we expect to experience a year-over-year headwind into FY '26. We expect that unfavorable impact to occur throughout the duration of the year, starting with our exit rate in FY '25, but having a lesser impact as the year progresses. The recently expanded aluminum tariffs from 25% to 50% creates a new cost challenge for the market, which could also slow demand activity for our products. The combination of these factors suggest there are approximately $50 million of unmitigated headwinds in FY '26. Although we have not finalized our full year guidance for FY '26, we are actively working to offset the effects of these anticipated headwinds. Now turning to Slide 11. As we've often said, the electrical industry is a great place to be. Our strategy addresses items that we are focused on today while also looking toward the future. We remain committed to maintaining a strong balance sheet and financial profile that enables us to return capital to shareholders while also pursuing strategic actions that enhance our portfolio of domestically- manufactured electrical products. Our teams continue to drive operational excellence through the Atkore business system, our disciplined data-driven approach to managing growth, productivity and customer value. Despite near-term challenges, our positioning in key electrical end markets gives us confidence in our ability to grow volume over the mid- to long term. Today and in the future, Atkore is providing comprehensive solutions to deploy, isolate and protect critical electrical infrastructure over the long term. while on a mission to be the customer's first choice by providing unmatched quality, delivery and value to help our customers achieve their goals. With that, we sincerely thank you for joining our call and for your interest in our company. Now we'll turn it to the operator to open the line for questions.
Operator: [Operator Instructions]. Your first question today comes from the line of Andy Kaplowitz from Citi.
Unidentified Analyst: This is Piyush on behalf of Andy. Congrats on the retirement advancement. Well deserved.
William E. Waltz: Well, thank you, Piyush, and look forward to still talking with you for a while here, but enjoy.
Unidentified Analyst: Absolutely. So I just wanted to touch on volume growth. It seems that forecasting volumes has been a little bit challenging, and I understand it's been a dynamic macro environment. But based on your conversations with your customers and the mega projects and the mega trends that you have talked about, do you have enough visibility on demand trends to provide some puts and takes on your volume expectations for '26.
William E. Waltz: John, do you want to -- like I have a feel. Let me do it this way. So end markets like data centers are exploding. So that should be good from a vertical. And also specifically for us, and this is a difference between, let's say, fiscal Q2, fiscal Q3, when we get into what we call global mega projects, working specifically with a customer, that's lumpier. So like timing of jobs for the last quarter to -- as you wrap up jobs and start another large projects have been a little slower from a year-over-year comp, but us talking to, I'll just say, very well-known global data center-driven data companies, we're optimistic for the future there. Solar, same thing. You can go check with the people we sell to and they're optimistic. And I think from there, other than residential, reasonable markets going forward. So we can get into our quarter and so forth. But Piyush, we're not giving estimates for next year, that's why I first mentioned John Deitzer, but it would be reasonable growth going into next year.
John M. Deitzer: Yes. I totally agree with Bill here. I think we had a little bit of choppiness in our international business from some of the mega projects rolling off and new ones starting potentially as we look forward. So I think we felt good there. I mean there is a -- we've called that out before -- so but in the North American business, I think that's performed as we expected or somewhat in line with some expectations at the end market level, but the timing of it has been a little bit choppy here between some of the months. But looking forward, I think we're pretty -- that low single-digit-type environment seems to be pretty reasonable.
Unidentified Analyst: Got it. Helpful. And just like touching on your water end market, I think you have talked about increasing focus on water, but it seems that the water end markets are a bit mixed here. Maybe expand on the demand trends that you are seeing across the end market and is water still a vertical where you're planning on investing.
William E. Waltz: Yes. Well, I'd say at this stage, majority, there's always a couple of things to finish, but the investments were in May. Now it's just growing with end customers. And that seems to be going on pace. Again, as we called out in previous quarters, we, whatever word you want to use, fired maybe too strong a word, but specific customers that where resellers, were retail-oriented and plumbing and things like that tied to residential is down. But where we're focused, the municipal is picking up or filling that void year-over-year. And I think it should be a reasonable market for us going forward.
Unidentified Analyst: Got you. Helpful. One last one on HDPE. I think last quarter, you mentioned potential for increase in competition from satellites. How has that dynamic evolved so far? And how is the current inventory in the channel? And if you have started to see these money taking -- making its way into the projects.
William E. Waltz: Yes. So I'll start but anybody jump in here. Again, I should probably turn it over to our COO that's closer to these things. So to the last quarter, I don't think with the One Big Beautiful Bill and everything else that is still the option to use satellites, somebody can give me more details on the specific parts of what laws, but the states are required to do the most effective thing out there. So that hasn't changed one way or the other. I'm not aware, but maybe it's my knowledge of specific jobs we won with the BEAD Act. But I do think you can triangulate this with, again, other people in the industry that overall fiber is starting to go up because of the data center growth and things like that. So long- winded answer, Piyush, that nothing's really changed from our last quarter guidance other than we are starting to see the business volumes pick up as we go forward, again, another should be a good thing over the longer term.
Operator: Our next question comes from the line of Deane Dray from RBC Capital Markets.
Deane Michael Dray: Bill, I'll also add my congrats on the announcement. I know you're still in the seat, but I appreciate everything you've done here and congrats.
William E. Waltz: Deane, thank you. And yes, I'm still on the seat and nothing changes. But yes, working with you, obviously, through Atkore and previous careers, it's been a great relationship.
Deane Michael Dray: Absolutely. So can we start with -- you gave -- you've given some good updates here on the tariff kind of from a high level. Can you take us down to the ground level especially on the steel conduit imports from Mexico. So how has that changed with the introduction of the tariffs, has that stopped the flow of Mexican steel conduit? And then same question for the PVC that was coming in from Latin America, just has that stopped? Or can you size any of that for us, please?
William E. Waltz: Yes. So I'll do both here. Again, I should look over, John. John Pregenzer, or any of us could answer these questions. But I'll mix the 2 together to go overall for the year, and I'm using fiscal year just to even go back further through October. For the year-to-date for both, they're either flat to maybe up 2%. We're at noise level that I would call flat. But again, before someone says, "Oh, the one was up 2%." Now the key thing to your point, and then I'll give caveats, Deane, is in this last fiscal quarter both were down significant double digits. What does that mean? I would say well over 20%, maybe getting up to 30% down for the quarter. Only caveat to that is what no one would know is, obviously, I think the tariffs are working. But also in the beginning of the year when after President Trump was elected, and we talked, did some people buy up and they're burning through inventories and so forth. So how much is tariff, how much is pre-buy, but either way, the tariffs, I think, especially with steel conduit, as John Pregenzer mentioned in his opening -- our opening remarks, up 50% is having an impact. PVC at 10% for most countries and you got to realize or my perception that what people claim for their imported value and be subjective. So is that having like let's call it a 5%, CEO math here, impact, but both are down in tariffs in those areas, especially steel seem to be affected.
Deane Michael Dray: Got it. And then second question, can you take us through and update us on your demand visibility as it stands today, at one time, there was a meaningful backlog that has all been burned off. I would presume. So are you down to like a 2-week visibility? Just kind of give us a sense there because I know that shortened time frame as more volatility, and you have to gauge what's going on in the construction markets, but just frame for us the earnings visibility and any dimension that you could.
William E. Waltz: Yes, I'll try to, and again, team jump in here if need be. But again, Deane, our backlog is 2 weeks or so, give or take, because again, we aspire to ship in 4 days. So by definition, if we're -- now there's some make-to-order products and so forth. That really hasn't changed much. Out with the customers, again, we do -- this is more anecdotal, but talking to all of our customer base. Inventories are average with distributors to slightly lower and there's lots of reasons for that. One is we've commented in our prepared remarks, things like PVC pricing has dropped. So distributors on thinner margins don't want to be buying a product at a high price, lower margin, try to pass that on, so logical there. And then the last month has been pretty chaotic in the copper market when I think it was July 7, July 8, that President Trump announced he was planning on a tariff. Copper -- don't lock me into these prices, but copper just jumped from the mid-4s, let's say, to almost $6 a pound, maybe not quite there. But probably wise contractors, wise distributors waited to hold off, and that's just what's announced and what the copper tariffs were on -- last week on August 1. So there, they're probably holding a lighter inventory and the last data insight talking from customers. And again, each customer may have a slightly different view of this. But in the utility market, my perception is that the end demand has been good. In other words, contractors installing, but at least some of our distributors have mentioned they were still burning off inventory that's now throughout. So again, slightly more optimism for us in the utility market as we go forward from this day, but the market at a manufacturer or distributor may have been slightly less.
Deane Michael Dray: Okay. That's helpful. And just last one. A lot of good detail as always on pricing. And could you just step back and give us a perspective of any surprises in the quarter on how pricing played out? It was actually both for PVC and steel, a little bit better than what we had been estimating and now you got 2 quarters of better steel pricing. But just from your perspective, what has surprised you, if anything, about how pricing is playing out from here?
William E. Waltz: Yes. So I'll start with Deane, and kind of echo your comments with a little bit more color. To your point, since our -- and again, team correct. But since our January earnings call, the price guide price versus cost has been right in the middle of our estimates. So no surprises. It ties with our numbers and reaffirming guide and raising EPS and everything else there. To your point, metal conduit probably slightly better than we expected, PVC, maybe is slightly better than we expected. But then as John Pregenzer in our earnings announcements here earlier, some of the aluminum at 50%, we import aluminum from Canada. So that has kind of hit us there. Purely because of the fact that we're paying the tariff. And at least to date, we have not seen -- there's a lot of chaos as I just mentioned with both copper and aluminum, but we don't feel it's hard to measure this to go which is wider than what the market is doing. But we don't feel like we're able to recoup the aluminum cost to date.
Operator: Your next question comes from the line of David Tarantino from KeyBanc Capital Markets.
David Edmund Tarantino: Bill, congrats on the upcoming retirement. Maybe to put a finer point on the fiscal 2026 comments. Could you walk us through generally how you're thinking about the underlying assumptions within the $50 million headwind? Maybe walk through PVC, steel and what looks to be bubbling up aluminum headwinds and what do you think the mitigating actions would look like? I think you mentioned that this was unmitigated...
William E. Waltz: Yes. So, yes, great question, David, obviously, and then I'll start and John Deitzer, if there's any. Again, the key caveat here is we wanted to give some feel for next year now versus waiting to November or as we talk to different shareholders and models to go, hey, let's at least think through some of this. But we're not here to give guidance that we would or specificity in November. So that said, as we've called out literally in our November guide of last year, our January guide that we shared shareholders in the company expect year-over-year headwinds for things like PVC purely because this pricing dropped this year, it's a much lower starting off point even if PVC pricing held for all of next year. So rough numbers without breaking out unless John Deitzer wants to get this level of specificity right out. It is -- we're probably and these are estimates here, but they're probably looking, let's say, $70 million of year-over-year just mathematically as pricings dropped this year without calling out which commodity. You kind of called out the PVC down, steel conduit is still down at the moment. But with 2 quarters, and we're expecting 3 quarters, this quarter here, a sequential improvement that could be a slight uptick as we go into next year. Beyond that, getting so specific. And then at this stage to go hey, John Pregenzer mentioned $50 million or on Page 2 of the deck or whatever page I spoke to, had a $50 million there. Assuming normal productivity normal as John Deitzer and I just mentioned, normal 2%, 3% volume growth for next year. Now as we also mentioned, obviously, we're working hard now on every and any facet of how do we get more productivity, how we get more volume, what other cost controls we could do. Obviously, we're analyzing things like we sold 1 or 2 small businesses this year and going as there are other things we can do to create more shareholder value. So at this stage, though, David, that as much as we can dimensionalize something to comments even John Pregenzer made, it's hard in this current environment, tariffs changing all around up and down to be any more precise than that.
John M. Deitzer: Yes, I'm totally aligned here with Bill, David. There's a lot of volatility on certain items whether we've seen that even just play out here in the month recently with copper where it spiked close to $6 a pound and dropped pretty significantly. So the net headwinds we're expecting are right around $50 million, but that includes some level of our normal productivity improvement and volume expectation to get us back to that net $50 million. We probably, to Bill's point, we have a variety of headwinds in excess of that. And so there are normal measures here to kind of get us back to the net $50 million is the expectation into next year. So we wanted to try to get ahead of that communication, if we could.
David Edmund Tarantino: Okay. Great. That's helpful. And then maybe just to dig in this field just a little bit more. It sounds like the import pressures are beginning to relax and pricing is improving sequentially. So what give you the confidence that pricing trends are bottoming out and heading to a more sustainable improvement?
William E. Waltz: Well, let's do it this way, David. Let me -- you're correct with steel conduit. And as I mentioned, I think it was Deane's question. PVC imports seem to be down but on the same hand, whether it's -- again, it's hard to always factor what's driving things. But with domestic competition and so forth, PVC pricing, we're still looking forward as estimates. But will continue to go down here, at least through the end of the year and probably some into next year. Again, we're not at that level. So I just want to level set that. Now for the products, yes, it's not rapidly going up with steel, but steel conduit. We had 2 quarters of sequential increases in our margins, and we're thinking that margins will go up again, what we've seen so far for the [ furthest ] month of July. So hopefully, I answered your question, David.
David Edmund Tarantino: Yes. Yes, that's helpful. And then maybe if I could sneak one more in. Could you just refresh us on how should we be thinking about capital allocation, just particularly around the share buyback pause this quarter, both near and long term?
William E. Waltz: Yes. So to our guide here, the $150 million, nothing has really changed, let's put it this way. We spend $100 million, somebody could debate should we have done $25 million in the last quarter, $25 million in the next quarter or spend -- I say spend it all, but got to $150 million or done more. But we -- without -- there's no commitment to anything, but our guide still is to spend $150 million this year. And beyond that, we have not met with the Board. I mean I would think stock buyback will always be a strong part of our thing, but we just haven't done a capital allocation for next year to give a range for next year yet.
John M. Deitzer: Yes, aligned to that, I think in terms of the framework though, I mean, we've talked about this for a while. The capital expenditures are a key part of the -- from a capital allocation perspective there, the dividend, share repurchases and M&A. I mean those have always kind of been the 4 pillars of our capital allocation model. As we get to November and moving on, we'll give an update on how those expectations look for '26 but those have been the key components of our capital allocation framework, David.
Operator: Your next question comes from the line of Chris Dankert from Loop Capital.
Christopher M. Dankert: I just echo the congratulations again here, Bill. I guess the first question here, as far as the impact of the lost IRA tax credit on kind of next 12-month earnings, I know it's fairly small, but is that included in the $50 million headwind?
John M. Deitzer: You were breaking up there for a second. Chris, can you mention that again?
Christopher M. Dankert: Yes. Apologies. Just on the IRA tax credit, that's going away, I believe, here. Is that headwind included in that $50 million you called out of headwinds for '26?
John M. Deitzer: Yes, I'll take a step back. I mean, I think we try to dimension that on one of the slides. I think the -- from our perspective, on the relevant portions of the Inflation Reduction Act I think are maintaining at least here in the near to midterm. There might be some longer-term dynamics around accelerating into the late 2020s and things like that or 2030s. But I think the near to midterm, our understanding or current operating assumption is that the tax credits for the solar torque tubes are largely intact here in the near to midterm. So we had some modest headwinds. I think the dynamics more from our volume with that market this year around where solar credits had a modest, slight impact, I think we called out in one of the volume bridges along the way this year, but the operating plan, I think is, by and large, the same with that one.
William E. Waltz: Yes. I know your question was specifically, Chris, around that -- so at least I perceive the torque tube tax credit. But again, if I didn't mention it one of the earlier questions, for the market itself, it's always spotty job by job. I don't want to be speaking for our customers, but with or without the reasons different bills and legislation, our voice of customers solar without even tax credits is optimistic. I'm speaking for them, so to speak. But just from the standpoint of they do have good backlogs, there's a lot of stats. They can tell you that still they can start up a new energy source quicker than any other form of energy. And obviously, I don't think anybody hopefully in the U.S. is debating the extreme need for energy as we continue to drive data centers and things like that. So my personal view from talking with customers and so forth, is that solar, like almost any form of energy will grow above -- well above GDP going forward.
Christopher M. Dankert: Got it. I guess the only other question I'd have on that particular point is if the market is still growing nicely, how the margins in that business look for Atkore? Is that still an attractive market going forward after adjusting for all the moving parts here?
William E. Waltz: I think so. Especially going forward, what we talked about, which I hesitate to bring up again, but it's more about productivity in our factories running well. So as we look -- again, I don't want to get down to each customer, but as customers have talked to us about 2026 and so forth. Our productivity is good, our throughput, our scrap is good. So it's those type of things that I think, are in our control, Chris. And the volume comes like we expected, it should be a good market or good vertical, however you want to say it, for us going forward.
Operator: Our next question comes from the line of Chris Moore from CJS Securities.
Unidentified Analyst: This is Will on for Chris. Can you just add any color or talk about any puts and takes to free cash flow generation in FY '25 versus FY '24?
John M. Deitzer: Yes, absolutely. So good question, Will. We have a little bit of dynamics ending on the 27th here versus the 28th, and we have some AR that comes through. So I think you kind of noticed that, I think someone else had kind of called that out from a free cash flow, so a little bit weaker. That being said, we do anticipate -- inventories have been coming down slightly. That's probably an opportunity as we look forward to continue to make sure that we can optimize our inventory. We've been trying to add, whether it's to support the service centers or some of these other initiatives selectively over the past, let's call it, 18 months. But that's probably an opportunity as we look forward into 2026 that we can continue to improve free cash flow generation. But some of those AR dynamics that we showed ending on the June 27 have largely kind of played themselves out into July and August, I'm pretty pleased here. So I think we just had a little bit of a timing element here right at the end of June. But I think we'll be back on track with some of the expectations of the free cash flow generation or the cash from ops generation really as we look forward into the fourth quarter.
Operator: Your next question comes from the line of Justin Clare from ROTH Capital Partners.
Justin Lars Clare: So I wanted to ask about the headwind that you had mentioned moving into fiscal '26 here. Wondering if you could just speak to how much of that headwind is really a function of just the pricing decline that you've already experienced in fiscal '25 versus the anticipation of further price declines in '26 and then I know raw materials and the increased costs in aluminum is also a factor there. So wondering if you could just maybe elaborate on the different factors.
William E. Waltz: Yes. So a great question, Justin. Obviously, I'm going to dimensionalize it just a small degree because again, we'll give more specificity in November. But I think the majority. Now whether that's 51% or 85%, I'm not dimensionalizing, is the year-over-year. In other words, to go, hey, if we ended flat in September, we would still have a large number. And again, that hopefully should not be news to anybody going back to November or January discussions. But from there, we haven't dimensionalized to go, hey, could some products still go down more, or to your point, calling out the aluminum tariff that specific niche doesn't seem to be working for us. But at this stage, again, without -- it's not November and giving next year's guide, I would think steel conduit should be up year-over-year. And again, all these things are qualified with the administration, what they do, do they change tariffs, do they give a quota before tariffs. So that's why it's like we want to give as much guide or feelings as we can, but it's just -- as you can appreciate, things change maybe weekly with administration and so forth. But hopefully, it answers, I think a lot is the impact we've already seen this year.
Justin Lars Clare: Got it. No, that's helpful. And then I just wanted to follow up on steel here. So import volumes have declined. Wondering if you could just speak to the potential you see to recapture some market share in steel conduit and how much that affects your volume assumptions going forward here?
William E. Waltz: Yes. I think there's -- Justin, spot on. I do think -- and again, it's not going to be crazy. It's the steel conduit other than somewhat driven by maybe data centers is one of our more steady GDP-ish product lines compared to things like metal framing or what we're doing with specific initiatives and so forth. But yes, I would hope over time, aspire, whatever word you want to use, that we, as assuming that the importers continue to do a couple of things. One, just less volume coming in or are they -- less ability to undercut because they are paying that markup with margins, no matter what they claim is imported value, will help us continue to see the margins that we spoke about and share go up as we move forward. So, yes.
Operator: And this concludes the question-and-answer session. I would now like to turn the call back over to Bill Waltz for closing remarks.
William E. Waltz: Thank you. Let me take a moment to summarize my 3 key takeaways from today's discussion. First, Atkore had a solid third quarter of financial performance. Second, we are maintaining our full year 2025 outlook midpoint for adjusted EBITDA and raising our outlook for adjusted EPS. Finally, it has been and continues to be my honor to serve in this role, and I look forward to supporting Atkore during this time of transition over the upcoming months. With that, thank you for your support and interest in our company. This concludes the call for today.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.